Operator: Good afternoon and welcome to the PRA Group Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ms. Darby Schoenfeld, Director of Investor Relations for PRA Group. Your may begin.
Darby Schoenfeld: Thank you. Good afternoon, everyone, and thank you for joining us. With me today are Steve Fredrickson, our Chairman, President and CEO, who will give you an overview of the quarter and talk about the current market environment; Kevin Stevenson, Chief Financial and Administrative Officer, Treasurer and Assistant Secretary, who will take you through our financial results; and Neal Stern, Executive Vice President, Operations, who will give you an update on our core operations. Geir Olsen, Chief Executive Officer of PRA Group Europe will also be available to answer any questions during Q&A. The press release announcing our first quarter results was distributed this afternoon. The earnings release is available on the Investors section of our website at www.pragroup.com. A replay of this call will be available shortly after its conclusion. The information needed to listen to the replay is contained in the earnings press release. I’d like to remind everyone that statements made by PRA Group on this call may constitute forward-looking statements under applicable securities laws. All statements other than statements of historical fact are considered forward-looking statements, including but not limited to statements regarding PRA Group’s or its management’s intentions, expectations, plans or projections for the future; receivables sellers returning to the market; future contributions of Aktiv Kapital and the timing and amount of future integration expenses or our ability to fully realize the expected benefits of the acquisition; any of PRA Group’s subsidiaries’ ability to contribute to earnings; the potential impact of further lawmaking, rule-making regulatory or law enforcement activities on our industry’s practices; future purchasing volumes; future revenue trends in our insolvency business; PRA’s growth prospects; or our ability to realize any tax benefit from restructuring our European operations. Actual events or results could differ materially from historical results or those expressed or implied in any forward-looking statements as a result of various risks and uncertainties, some of which are not currently known to PRA Group or its management. These include the risk factors and other risks that are described from time-to-time in PRA Group’s filings with the Securities and Exchange Commission, including PRA Group’s most recent Annual Report on Form 10-K, Quarterly Reports on Form 10-Q, and current reports on Form 8-K. Any such forward-looking statements speak only as of the date they are made. Except as required by applicable law or regulations, PRA Group has no obligation to update any forward-looking statements to reflect events or circumstances that occur after the date they are made, whether as a result of new information, future events, or otherwise. All comparisons mentioned today will be between Q1 2015 and Q1 2014, unless otherwise noted. I’d now like to turn the call over to Steve Fredrickson, our Chairman, President and CEO.
Steven Fredrickson: Thank you, Darby. Q1 2015 proved to be record for PRA Group. Following them here is our significant first quarter investment in corporate [indiscernible] in the Americas. In Q2 that same team is able to invest a record high amount of almost $139 million, about $12 million more from any other prior quarters and increase of 75% or $59 million versus the same period last year. This investment performance occurred even with the significant headwinds based on the supply receivables U.S with charge off rates continue to be lower than the historical norms and several large sellers remain out of the market. Our accomplishment is made possible by consolidating markets with competitors, its operating excellence and stringent compliance and regulatory requirements made an increasing difficult for many debt buyers to operate profitably. Only those like PRA Group with significant scale, strong seller relationships, superb underwriting and ultra-efficient compliance operations continue to drive. Another record and significantly milestone achieved during Q1 was total cash collections of $400 million, over $25 million more than any other quarter and increasing 28% or $86 million versus the same period last year. The strongest performance relative to our expectations came from our call centers in the Americas. The increase in cash collections caused net finance receivable revenues to increase 28% to $228 million. Total revenues were up 26% to $245 million. Earnings per diluted share were $1.19, an increase of 47% and return on equity was 30.1%. Total worldwide investment across the PRA Group Enterprise totaled $230 million during the quarter. And looking at the Americas, cash collections exceed our expectations at $315 million and our call centers continued last quarter’s trend are outperforming expectations. As a result, our legal collections both internal and external have trended lower than expected as fewer accounts leave the call center environment. We’re pleased to see our call center collections this sort of results since legal collections remain our option of last resort. Total investment in the Americas was $155 million with investment in insolvency portfolios adding $16 million to the record core investment of $139 million. In solvency landscape is still challenging and we continue to search or purchases that make sense. Our advertiser is strong as ever for this product however steadily declining bankruptcy filings and unclear OCC guidance relative to the sale of a constant bankruptcy that dampen the amount of product being brought to market. The debt purchase market dynamics in the U.S. are largely unchanged from the end of last year. Pricing is still very competitive but rational, supply is still constrain and regulation is still focus. During the quarter we spend a significant amount of time with the number of sellers going through there audit and sell qualification process. We believe that in all cases is reviews when it will. We continue to have discussions with the CFPB, although we do not appear to be materially closer to a resolution than we were last quarter. We are supportive of the CFPBs mission to modernize and professional mission to modernize and professionalize to debt buying industry. However, we are firm believers that we should not be held the standards, the CFPB is not simultaneously subjecting the rest of the industry tool by regulation nor should we be penalized fraction that we are permitted legal and even industry standard at the time they were undertaken. Moving over to Europe despite the strong dollar cash collections were $85 million. Although this was lower than our expectations it was wholly attributable to foreign currency movements. When we look at the performance in the local currencies collections were ahead of our expectations and that is due to both solid acquisitions and continually improving operation efficiency. Investment in Europe was $58 million consisting of $49 million in core portfolios and $9 million in insolvency portfolios. This was significantly higher than the combined investment Aktiv in PRA made in Europe during the first quarter of last year. While the pipeline for the second quarter is very substantial, it is too early for us to estimate, how much of that will be able to win, since the environment in Europe continues to be extremely competitive, especially in the U.K. The currency movements mitigated some of PRA Group Europe’s performance. That business continues to perform well and is meeting or exceeding our expectations at the time of deal underwriting last year. We continue to be extremely happy with last year’s acquisition Aktiv Kapital and we’re very pleased with the integration process on improving operations and the opportunity set available in Europe. With record cash collections and compelling investment levels, even with U.S. supply demand, we’re very pleased with the strong start to 2015. PRA Group Europe is performing ahead of our expectations in local currencies and our domestic call centers are generating strong cash collection. Core acquisitions in the Americas turned in a record performance and the pipeline in Europe is significant. This quarter provided the type of results we look to deliver and we’ll work hard to continue this momentum through the year. With that let me turn things over to Kevin, who will take you through our financial results in more detail. Kevin?
Kevin Stevenson: Thanks, Steve. So this is the beginning of our 20th year in business. And as Steve said, we once again delivered an exceptional financial performance. On a very high level, cash collections increased 28%. Total revenues increased 26%. Income from operations increased 34%. Income before taxes increased 32% and net income after taxes increased 42%. Now let’s get into some detail. Total cash collections for the quarter increased 28% to $399.7 million. Core collections in Americas were $219.4 million a growth of 17%. European core collections were $83.9 million. Insolvency collections were $96.5 million, insolvency collections in Americas are declined 21%. Collections on fully amortized pools were $17 million during the quarter, compared to $17.8 million in 2014 Q4, and $16.5 million in 2014 Q1. Revenues increased 26% to $245.2 million, including $228.4 million in net finance receivables, or NFR revenue, $13.1 million in fee revenue and $3.8 million in other revenue. NFR revenue for the quarter was comprised of $189.2 million in core portfolio revenue, net of allowance charge of $1.9 million. Net core portfolio revenue increased 56%, mainly due to the addition of our European business. NFR revenue also included insolvency portfolio revenue of $39.2 million, net of allowance reversal of $255,000. Net insolvency portfolio revenue decreased 31%. Fee revenue decreased 16%, to $13.1 million, from $15.6 million. However, excluding the larger CCB settlement in 2014 Q1 fee revenue was down just 3%. Moving on to expenses, operating expenses were $149 million, up $26.7 million or 22%, largely due to acquisition of Aktiv Kapital and $1.6 million of expenses associated with restructuring of our European operations. The timing of the expenses related to the restructuring had been a bit slower than originally anticipated and we expect to incur another $3 million to $4 million of remaining expenses spread over the next few quarters. Our operating income was $96.2 million, up 34% and our operating margin was 39.2%. Below the operating expense line, we reported a foreign exchange gain of $6.8 million. This is due to entities conducting operations in currency is different from their actual currency. Interest expense was $14.9 million, an increase of $10.1 million. Non-cash interest expense relating to our convertible debt was approximately $1 million in the quarter. Our effective tax rate was 34.1% for the quarter, mostly in line with our expectations. Country mix structure and FX all impacted the tax rate are going to be slightly lower than the 35% to 37% range we discussed on our Q4 call. Net income was $58.1 million up 42% from $40.8 million. Diluted earnings per share was up 47% to $1.19 from $0.81. Our net income margin was 23.7% compared with 20% for full year 2014 and 24.1% for full year 2013. Moving to the balance sheet, cash balances ended the quarter at $40.5 million compared with the $191.8 million a year ago. Our NFR balance was $1.95 billion, up from $1.25 billion at March 31, 2014. Please note that our purchase in Poland was recorded as an investment rather than in the NFR balance. The Poland investment had a principle balance of $60.2 million. The equivalent gross ERC of this investment is $130.4 million. PRA’s expected net cash collections are $97.6 million. During the quarter, we repurchased $77.8 million, or approximately 1.5 million shares of common stock at an average price of $52.65. This leaves approximately $8 million on our existing share repurchase program. Net deferred tax liabilities were $265.7 million at quarter-end compared with $220.9 million a year ago. Borrowings totaled $1.48 billion at quarter-end. As Steve mentioned, our ROA for the quarter is 30.1%. I wanted to take a moment to remind you that foreign currency translation adjustments flow through cumulated other comprehensive incoming loss in the equity section of the balance sheet. During Q1, these translation adjustments decreased stockholder equity, which in turn increased our ROA. Lastly before I turn things over to Neal, I would like to welcome Deborah Cassidy to our team, as Chief Information Officer. Deborah comes to us most recently from Genworth Financial and before that Allianz Assistance. He will oversee all enterprise corporate systems globally. He has over 20 years of IT leadership experience, the last 10 years in the financial services industry. Now let me turn the call over to Neal for a review of our first quarter collections and operations results.
Neal Stern: Thanks Kevin. Our first quarter domestic call center and collection staff increased their cash collection per paid hour by 4% over the prior year. And this was the 28 consecutive quarters which were only productivity improved year-over-year. Many of these increases have been heavily influenced by ongoing improvements to our scoring and segmentation practices now as again the case in Q1. In total we collect to just under 2.7 million domestic payments this was a 1.8% increase over the prior year and our average payment size increased by 2.5% year-over-year. Because the average payment size can be impacted by variety of short term market and operational conditions we believe the more in asymmetric is to track the amount of cash collecting per acquisitions score point. That metric increased by 14% over the first quarter of 2014 and was driven by purchases made over the last few years and improve collection performance from our call centers. Domestically total legal cash collections were down by $2.9 million or 3% compare to last year external legal collections representing 54% on that total and internally your collections were 46%. Our total domestic spending and court cost of $20 million was 22% lower than the same quarter last year. The reduction in court cost reflects lower inventory levels driven by the improved call center performance. Domestic court cost in the coming quarters will likely be slightly higher than they were in the first quarter but remain below prior year levels. Obviously having an increase in call center collections is our strong preference. Legal collections remains our optional last resort and only incur after consumers that not responded to later in call but appear they have the means to pay us. Examining our collection metrics is Europe is more difficult to do an aggregate because the individual countries have such different mixes of legal and call center collection contributions. In order to allow you a more direct comparison to Q1 2014 or impeccable, we’ve adjusted these results to remove the impact of foreign exchange rate fluctuations. Across Europe cash collection per paid hour increased by 5%. The total number of payments was up by 14% and average payment sized decreased by 6%. As long as two metrics, we are mostly heavily impacted by a mix change that favor the U.K. and German markets relative to the other markets where fewer large payments are made via the legal collection process. However, legal activity across in those markets as well as in Spain did increased and in turn produced a 17% increase in legal collection there. Scoring practices that we’ve long relied on the U.S. are not well adopted in the U.K. and Spain and the results continue to very encouraging. In the coming quarter, we’ll continue to refine those practices and the technical platform used to drive productivity up even further in those markets. Operator, we’re now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Scharf with JMP Securities. Your line is open.
David Scharf: Thank you. Thanks for taking my questions. Maybe you can start-off with a little more color on the – the competitiveness of the European markets which you are involved in, you know, you had mentioned that the U.S. was still competitive from a pricing standpoint to still rational and stable context. Can you kind of may be compare your outlook for Europe this year may be put it in the context of how you view the U.S.?
Steven Fredrickson: Well, I would say that from a volume perspective the current pipeline in Europe is looking more attractive than the U.S. overall from a pricing perspective, we’re seeing pretty similar IRRs in both places. And so, the difference there is we’re seeing very competitive pricing markets really across the markets in Europe. However, as I said Europe appears to be presenting some volume opportunities that are quite as dramatic in the U.S.
David Scharf: Got it. And Steve, I guess in the context of relative to your expectations when you closed Aktiv, you mentioned operationally excluding FX impacts the sort of collection efforts are trending may be a little ahead of pace. What about the IRRs on just these first couple of quarters of the pools you bought. Are the movements in pricing the competitiveness pretty much in line with what you thought you are going to encounter six, nine months ago?
Steven Fredrickson: Yeah. The deals that we have been able to close on over the last few quarters are in line with expectations we had when we underwrote the deals.
David Scharf: Okay, got it. And not to pin you down too much. In Q2 I know that unlike the U.S. they makes a lot more lumpy in terms of kind of gauging purchase volumes particularly as one country might just have one or two sales per year. But regarding your comment that it’s a very, very active pipeline in this quarter and even heading into the fall, should we be thinking about forecasting core purchases in Europe up sequentially from Q1 levels?
Steven Fredrickson: I’m not giving little more color on that I’ll just provide a kind of quick overview. It’s going to depend on just how deal is hit. The big deals depending on whether we get our fair share or not it could swing that number quite a bit. I’m just adding that seasonally Q1 and Q2 are the softest quarters when it comes to that activity levels and only Q2 and Q4 are stronger quarters in Europe in general. As Steve pointed it depends a lot on the few deals we came in a with a lot of in Q4 which was second quarter and we see a healthy pipeline also now in Q2 but we also set trend towards larger deals as well as the numbers will depend on executing on some of these larger deals specific deals.
David Scharf: Got it. Just one more then I’ll get back in queue. Returning to the U.S. can you may be put into context is this 14% increase in collection per score point? I mean obviously we’ve got an improving employment environment, credit seems strong by historical standards. This is a kind of environment where you’re liquidation rates are showing terrific trends, coming out of previous downturns, I mean, as you mentioned this is the 20th year the company, is 14% kind of the high watermark you’ve seen during economic recoveries or periods of stable the growing employment or is there a more upside to that figure?
Steven Fredrickson: So the reason I keep using this metric and pointing to it is because it takes into account all different macroeconomic conditions and across all different points of time. So the acquisitions score that we’re using today, we’ve gone back to our entire history and we said using that methodology what was the acquisition -- what would be acquisition score have been 1996, when we bought that, and how much should we have expected to recovers. So we are collecting 14% more than we did last year, predominately because of two things. One, the pools we bought in the last two years are just performing differently than at any other point and any other macroeconomic cycle, we’re collecting more then we have it any other point in time. And two, the accounts that are in our call centers, they are also performing quite strongly. So those two are obviously highly correlated the fresh accounts are the once that are in the call centers, so it’s difficult to tease out, which of those two is driving things more, but we made a pretty serious change to our scoring methodologies and that really seem to pay off for us during Q1, which is obviously seasonally very important for us. So this scoring change was material and gave us quite a bit of lift.
David Scharf: Yeah that figure was 10% I think during the fourth quarter. I mean was there anything unique about this tax refund season or anything else that would resulted in such a lift even just sequentially?
Steven Fredrickson: I mean its hurt me that point to something but sequentially that was material. The score is that we made was done Q2, Q3 or Q4 last year. So it just as picking up momentum and because tax season so important I think that’s change that more outsized impact on Q1.
David Scharf: Got it. Thanks very much.
Operator: Thank you. Our next question comes from the line of Sumirago Paul with Jamie. Your line is open.
Sumirago Paul: Great thank you just a few questions. Firstly in terms of you are purchasing in Europe core purchases is. I just want to clarify so it seems like there was some kind of seasonal slowdown in purchasing activity related to Q4 and the anticipation is that you have larger transactions potentially in the pipeline. So you see pick up again in Q2. That’s essentially like those are the main pieces driving kind of what we saw in purchase volumes in Europe for the court receivable?
Steven Fredrickson: Yeah as mentioned Q1 and Q3 is from an activity level always lower activity. We see a stronger pipeline now in Q2 than what we did in Q1 and the final investment result will depend on our ability to win those seats but the stronger deal pipeline now in Q2.
Sumirago Paul: Okay.
Steven Fredrickson: And seasonality.
Sumirago Paul: Okay. Then I just want to clarify that and then the other thing I was interesting was your investment in the securitized assets in Poland. So I mean you just help me to understand how that was structured, so someone else have these assets and securitize them and then doing rest in their residual piece in that securitization? I’m just trying to get a better sense of which piece you’ve brought.
Steven Fredrickson: So this is – in order to buy portfolios in Poland, you need to buy through securitization fund. So this was the deal we did together with the two local partners there and reason for our the way we are accounting for it that’s well now it’s the way, the deal is structured, where we have some financial structures that are and giving us some downs and protection in this deal.
Sumirago Paul: Okay. And then maybe a question for Kevin, when you look at your funding currently and with the context of securitizations here, is that a potential source of funding I know in the late 90s they was a lot of gain on sale accounting that didn’t end well for a lot of companies and the industry. But now you don’t have gain on accounting. So secured funding – securitization funding specifically something you would look at – have you looked at it? Do you think the execution could be good there relative to your current sources funding?
Kevin Stevenson: Yeah. So first, I just want to make sure that – both listing aren’t confusing the two things. The thing was Geir was talking about was just how we brought the Poland deal – these are structural issues. And what’s Neal is talking about is some time ago, people securitize this asset classes as source of funding. And so that was in the late 90s as memory serves. And I – we research to back then we didn’t believe it was a good way to do thing back then, I think I would still believe that today, back then it was an expense route but -- nothing is ever off the table, but I think that would be pretty low on my list of things I would considered for our funding source? Again, not to beat a dead horse, but the Poland deal that we did was done specifically to buy assets that were being sold by a financial institution, it wasn’t a repurchased of previously purchased charged off accounts. And because of incensing issues in a particular to Poland one needs to buy in one of these securitized structures. So, a special purpose vehicle was set up for that purpose and has really nothing to do with the financing side of transaction.
Sumirago Paul: Yeah. That’s very helpful. Thank you. And then the last question was in your other operating expenses of 9.6 million I think you referenced some additional costs which was closing of Aktiv and we expect to incur additional costs, but if you look at the sequential increase from 4.9 to 9.6 million this quarter, was there any else segment through that line item, that might have been seasonal in nature or was it all also sort of related to post merger integration part?
Kevin Stevenson: Yeah, thanks. So just to clarify again, we had $1.6 million that was integration related, and again we expect another three or four in there as well. Last quarter, I think we had some vat tax issues that ran through that line item, but I have to check my notes to make sure, but I think it -- is that correct? Yeah, that’s correct. So we have some refund items in last quarter.
Sumirago Paul: Okay. Thanks a lot guys. I appreciate it.
Kevin Stevenson: Thank you.
Operator: Thank you. Our next question comes from the line of Hugh Miller with Macquarie. Your line is open.
Hugh Miller: Hi. I appreciate you guys for taking my questions. I wanted to start off with just some color – I apologize if I missed it, but in the other income line item with that $6.8 million benefit, I assume that was just FX related?
Steven Fredrickson: They are below the operating expense line?
Hugh Miller: Yes.
Steven Fredrickson: Yes, that was FX related, correct.
Hugh Miller: Okay. And as you looking at kind of leveraging the analytics in the U.S. and the technology in the U.S and then looking at efficiencies of Aktiv, can you just talk to us about what you guys see as opportunities to make improvement in efficiencies in the back half of 2015 in Aktiv?
Steven Fredrickson: I think on the – where we said the biggest benefits, our benefits are in the large scale environment that we have them and that is primarily in the U.K. and Spain where we have large scale that’s where we will see most of the benefits from this. However, we are implementing also scoring around how we can beat the target or legal activities in other countries where that is a more important tool. Everybody depend a little bit on each market.
Hugh Miller: Okay. Thank you. And then question for Neal, you mentioned that the changes you made in the scoring system at the back half of last year and how it’s kind of gaining some momentum? Could you provide us with any insights into what you guys were adjusting and any further?
Neal Stern: We adjusted a number of things. Obviously the variables and their rating within the model were adjusted and then we made a number of adjustments and how those affect different workflow. So our dialing with and how much effort and things of that nature, but it’s really mostly amount variables, and which variables we’re tracking and how much weight to give them.
Hugh Miller: Okay. And we’ve start to hear a little bit about some companies that have started to sell of non-secured installment loans. I was wondering if that’s an asset-class that you guys are comfortable buying in and if you had experience how those collection curves compared to your traditional purchases?
Steven Fredrickson: Yeah. Unsecured installment loans of product that we bought for many years. We typically don’t see a ton of volume and -- but we feel is that we are very able to model that type of account.
Hugh Miller: And can you give any sense is to how that differs from the collection curves from a traditional credit card receivable if it does at all?
Steven Fredrickson: Yeah. The – on a generic level, there isn’t substantial difference in what we’ve anticipate in the collection curves between the two.
Hugh Miller: Okay. And just with regards to consolidation in the industry. Are you seeing kind of any change in tone within the call this small to even mid size peers regarding their willingness to consider existing the business just given kind of the regulatory environment and also the purchase environment as well?
Steven Fredrickson: Our interaction with small to mid size peers is virtually non-existent. We get best inside really in talking with sellers and trying to get some flavor and color for them on who they’re selling to not specific names but you know generically how many and that’s what we takeaway kind of our impressions and the magnitude of industry consolidation.
Hugh Miller: Okay. And last question for me was just with regard to the IOS and can you give us an update on kind of where things stand and what we should thinking about for a timetable in the coming quarters?
Steven Fredrickson: Yeah right now again there is not whole lot reports there the tax pockets out there we will see how the court case progresses forward. But if there is theoretically date out there right now we will see that happens in that date but not lot update on it.
Hugh Miller: What’s the date is currently out there now.
Steven Fredrickson: I think June 22 is the date out there right now.
Hugh Miller: Okay, thank you very much.
Operator: Thank you. Your next question comes from the line of Mark Hughes with SunTrust. Your line is open.
Mark Hughes: Thank you good afternoon. Have those dates lift in the past is that a point you might make?
Steven Fredrickson: Yes.
Mark Hughes: Okay. How about the certain domestic sellers who have been out of the market can you give us an update there?
Steven Fredrickson: We continue to wait for them to reenter. As I mentioned, we spent quite a bit of time on seller audits and qualification a processes and you know certainly time was spent not only with people that are currently in the market selling, but also those that are currently selling. So we still remain confident that people are marching towards, getting back into the sales process, but it will be obviously at a timing of their choice.
Mark Hughes: And those interactions you had were more extensive or – more extensive than they had been previously?
Steven Fredrickson: Well I would say that they were more along the lines of qualification for new sale as oppose to simply auditing what you’re doing on existing sales.
Mark Hughes: Got you. And then the CFPB process, what’s next? You come to standstill, not made much progress. What were they telling you about what the process is going to look like or what you anticipate?
Steven Fredrickson: Well at this point, we’re continuing to have dialogue with them and our hope and expectation would be that we’re going to arrive at some sort of mutual solution. But we didn’t see our results. We materially gained on that goal in the quarter.
Mark Hughes: So the estimates for the currency impact on revenue or collections, were they above the line currency items, you break out the below the line item, anything above the line that was either plus or minus?
Steven Fredrickson: They said 6.8 million below the line and the OCI adjustment. We do have about $60 million OCI adjustments. That would be to the extent of the FX impact, yes.
Mark Hughes: And then the collections I guess we don’t have same currency number for last year. Okay, in the polish fund just to be clear, that’s already invested, there are assets that are generating cash off of that investment. Is that correct?
Steven Fredrickson: Yes. That’s correct.
Kevin Stevenson: Yes.
Mark Hughes: All right. Thank you.
Operator: Our next question comes from the line of Bob Napoli with William Blair. Your line is open.
Bob Napoli: Thank you. May be first question on collections of the European core business Geir, may be those collections from fourth quarter to first quarter were relatively flat in dollars, was there some currency affect on that? And then do you have guys obviously has very strong seasonality in collections with the first quarter begin very strong and they came through even stronger to the collection centers. Is there any seasonality to collections in Aktiv?
Geir Olsen: Of course, there are different seasonality’s in different markets, but overall you don’t see that profound seasonality as you see in the U.S. so there is less of it when you look at across Europe. On the first question, yes, there has been some currency impact from Q4 to Q1. I don’t have that number exactly, but the dollar was strengthening that period so that would take down our collections results in Europe and U.S. dollar terms.
Bob Napoli: What is the mix again if currency primarily for Aktiv?
Geir Olsen: So about third of them live in more than for the pound and then euro would be a biggest one. I don’t know exact number and then you would have no region on Swedish collection that would be kroners, so those are much smaller. So, that the biggest one as you roll so far.
Bob Napoli: Okay. And then maybe the collections in the U.S. the collection center did as you said extraordinarily well that the bankruptcy continues to decline little bit faster than what we’re looking forward. I mean overall North America was stronger than what we expected, but on the bankruptcy side they obviously have been buying a lot of bankruptcy. But when does that – does that rate of decline continue for few more quarters on the U.S. North America bankruptcy?
Steven Fredrickson: Well, I mean the ultimate rate of decline really depend on how much we are putting in the front end. So if purchase is remains fairly muted like they were this last quarter, that rate of decline is going to – continue to be fairly sizable.
Bob Napoli: Okay. And then the bankruptcy in North America at this point is that are you buying primarily auto or is there – I mean the auto business is growing pretty fast and I think there is some big sellers of auto bankruptcy is out there at least one that announced it publicly?
Steven Fredrickson: Predominant – kind of quarter-by-quarter buying that we’ve been doing in bankruptcy has been unsecured, although we’re – we have a strong appetite on the secured side as well. We just see less frequent offerings there.
Bob Napoli: Okay. And then in North America with all of these alternative lenders like lending club, et cetera growing very, very fast. Do you see those marketplace lenders as a – are you comfortable with supply out of that part of the market? Are you seeing much supply out of their yet obviously there a lot of charges off coming?
Steven Fredrickson: Yeah. I mean, it’s in the emerging asset type for our market and like all similar lending process that we see out there, we’re interested in it and trying to establish and maintain dialogue with those folks that they have receivables to sell.
Bob Napoli: Okay. And then I mean, the U.S. repurchases were pretty strong this quarter and is it – is the mix any different then it’s been in the past? Is it still – is it primarily still credit card or is it more private label? And where is that volume coming from? And I guess it’s only primarily you sell the non-core and maybe there are one or two other smaller buyers today?
Steven Fredrickson: Yeah. The majority of our buying continues to be credit card, but yet, Bob, the hurt has been very dramatically and so we’re picking that more significant market share domestically.
Bob Napoli: Okay. And then I mean, you’re pretty done with your share repurchases, are there – is there interest in more share repurchases in the near term or depends upon how you see this big pipeline convert?
Steven Fredrickson: Yeah I think given what we see is pipeline opportunity in the U.S. and in Europe for the reminder of the year. My guess is that and last there is a real kind of opportunistic situation that we want to take advantage but there is going to be mostly quite on the share repurchase front.
Bob Napoli: Is it fair to say U.S. volume has flow is steady currently?
Steven Fredrickson: Yes.
Bob Napoli: Okay. And then Geir in Europe where are you seeing the better opportunities I mean do you now have a position in Poland you expect to be buying more there we’ve heard some about Italy here and there but I mean what markets are you seeing the most opportunities and I know some of your competitors are listening or kind of...
Geir Olsen: I mean without doubt the largest market is Europe is the U.K. that’s also the most competitive and professional market I would say. But that is we see a good set of opportunities there and then the other major markets we operate in with the Spain, Italy and Germany where you see the biggest share of opportunities. In Poland as specifically we made their acquisition where following that [indiscernible] that performs and we are in dialog with other sellers and looking at opportunity essentially we finalized opportunity in the Poland we will continue to invest there. And both Italy and Poland our place is where we are strengthening our local presence and building up organization there.
Bob Napoli: Okay, great. Thank you very much. Appreciate it.
Operator: Thank you. Our next question comes from the line of Robert Dodd with Raymond James. Your line is open.
Robert Dodd: Hi, guys. Lot of my questions had really been answered. But for one moment, housekeeping one, the foreign exchange gain was 6.8 million was that taxable or untaxed?
Kevin Stevenson: You know its taxable depends on how it hits though. I don’t have that kind of detail in front of me right now. It depends on the construction of that basically -- actually by and large you could talk back to the [indiscernible] question.
Robert Dodd: Yeah, basically.
Kevin Stevenson: Yeah, it’s okay to do for you...
Robert Dodd: Okay, thank you. On the allowance obviously I mean, relatively modest but we have not seen two quarters in a row, versus the patent before have been overall reversal. I mean, is there anything we should read into that in terms of – is it the last two quarters this type of particular vintages any particular issues even purchase or consumer demographics I mean, is there anything that’s particularly indicative that -- overall obviously your performance of collection in terms Q1, Q4 have been significantly outperforming but this quarter we also saw modest allowance charges, so is there any more color you can give us on that?
Kevin Stevenson: Sure, I’ll be happy to give you some color. It’s one of the byproduct of the accounting that we are – we get to enjoy using here. And you know these the deal that you are seeing today, are deals that all have yields on them that are materially larger when they started off. So these are very, very well performing deals. That have -- just had couple of little soft spots in their curve. And when these yields get very high, the sensitivity increases to any kind of cash fluctuations. So for example, these allowance charges came from the -- mostly the 2011 tranche which is just a really, really strong tranche of paper for us. The next highest allowance tranches would have been the 2010 tranche and that is just mattering in 2012. So I think the take away from it is, it just denies the deal with this accounting because once you raise the yield you can never lower it. And that’s really kind of trust of it. I would say there are no sellers specific cause things in there, it’s just nature of the accounting. I think the primary takeaway there is these aren’t original underwriting errors. These are more the result of over performance in accounting than anything.
Robert Dodd: Got it. Thank you. And then one last one on the scoring model that you have been making adjustments to is any of that beginning to be related to the regulatory questions in terms of are you adjusting to factoring kind of the hinds and the pressures that you are seeing from the regulators at this point?
Steven Fredrickson: No. The changes in the models are more about detecting consumer health or strength of our ability to make repayments, the regulatory environment really doesn’t have as much impact on that is things like employment or collection of debt or things like that are probably more germane. The only place regulation really starts impacting our score is on the legal side. So there are certain states where the requirements are different or the court filing fees are different and that can factor into our scoring. So the cost of filing a lawsuit in New Jersey and California are pretty different and so those things tend to play around in our score. The other thing though I think that we need to keep clear is the score really helps us sort our account and determine specific work efforts, the regulatory environment and that’s’ really on a state-by-state basis, sometime even more nuisance in that, really drives what it is we can do . And so whenever there is a regulatory impact to operations Neal is working with Chris Graves on the acquisition side to make sure that we are baking in the estimated impact on ultimate liquidation results from any operational changes that need to be made as a result. So another way the compliance starts to trumps all the score steps so perfect compliance started. It’s taking place where you had the new scoring contemplation.
Robert Dodd: Got it. Thank you, guys.
Steven Fredrickson: Yes.
Operator: Thank you. Our next question comes from the line of David Scharf with JMP Securities. Your line is open.
David Scharf: Thank you. Just a couple of clean up questions. The tax rate is the guidance still the same notwithstanding the slightly lower rate in Q1?
Kevin Stevenson: Yeah. I’m going to stick with the -- for the full year. It’s going to end up somewhere in that 35 to 37 range. That’s our best guess. But clearly right now, our outlook is to the low end of that.
David Scharf: Okay.
Kevin Stevenson: As the year goes on some discrete item that could pop through could change down, but that’s our best guess right now.
David Scharf: Got it. Got it. And back FX that you got obviously the transaction gain below the line. I think somebody ask about other impact and you reference deal would ran for year OCI, but actually I’m looking at the comment that I think you said FX. The FX had impacted your GAAP collections dollar number in Europe, but they beat your expectations on a constant currency basis. Can you give us a sense for how much the hit to European collections was?
Steven Fredrickson: Yeah. Right. We haven’t talk about the year.
Kevin Stevenson: Yeah. So as reference if you look at it on a U.S. dollar term, the Europe now and the new structure that we will, not – you cannot compare that directly with active as Canada is out and we integrate that the PRA and that was in Europe, but in U.S. dollar terms the collection was down 2%, but in fixed currency terms that was up 15%.
David Scharf: Okay, well. Okay. So 17% net impact. Okay. Got it. And then lastly just in terms of you accounting for the securitization the FTV in Poland, you invested 28 million in that. Did I heard you say the expected cash collections was 97.6. Is that for the secure – for all the assets in that vehicle or is that for your portion?
Kevin Stevenson: So we invested 28 in Q1, something like 35 in Q4. So the total caring balance of that right now is just around $16 million. That would be the equivalent of the NFR balance.
David Scharf: Got it. Okay right. So okay I thought it was a different the figures you gave in collection the [indiscernible] maybe just a discreet vehicle in Q1. It’s one vehicle that was set up in Q4 and you invest in that?
Kevin Stevenson: Yeah that was a deal came in two tranches so we both the first tranche in Q4 and the second tranche now in Q1.
David Scharf: Okay. And another way to look at that is the forecasted collection multiple that is 1.6 times for these assets at least to the...
StevenFredrickson: No, that wasn’t I think it’s higher than that we did reference it I don’t have a number.
Kevin Stevenson: It is 2.16 so it’s a 60.2 million versus the 130.4 million.
David Scharf: That’s the ERC.
Kevin Stevenson: Yeah that’s why my script they talk about the equivalent gross ERC number 130.4.
David Scharf: Okay. But that’s -- but those are -- that 130.4 relates to PRAs portion.
Kevin Stevenson: Yeah.
David Scharf: Got it. Okay thank you very much.
Operator: Thank you. Your next question comes from the line of Mark Hughes with SunTrust your line is open.
Mark Hughes: Thank you. That math with the down to versus up 15 was that a year-over-year comparison?
Kevin Stevenson: Yeah that was a year-over-year compare with the same quarter last year.
Mark Hughes: Did you do it sequentially compare to the fourth quarter?
Kevin Stevenson: I know I guess we’ve had to follow up on that.
Mark Hughes: Do you have sense for that?
Kevin Stevenson: No. We’d be guessing here.
Mark Hughes: Yeah.
Kevin Stevenson: And I don’t know if you’re getting from that.
Mark Hughes: Guesses can be okay sometimes. On the CFPB issue, are you able to coordinate with the industry peers, I have discussions with industry peers to see whether is some sort of pattern, bargaining so to speak some consolidated settlement that would involve major players and so therefore it wouldn’t be any agreements or changes to procedures wouldn’t be unique to portfolio recovery. Are there any initiatives on that front?
Kevin Stevenson: Well, I certainly hope from the CFPB perspective that that’s how they’re looking at things. We’re – I think we feel able to talk the industry group and compare some notes on what’s going on, but we’re trying to be mindful the confidentiality issues involved in discussions with these guys. So there is not necessarily in industry how well going on. It really gets factor the whole notion that we would really like to see rule changes occur as a result of a formal rule making process, which I think we’ve all been anticipating coming from the CFPB for a quite some time. I think that from what I have heard certainly our stands is I think we are ready willing and able to look with updated set of rules for the industry, but we just can’t get into a situation where by jumping ahead of the rule making we disadvantage ourselves relative to competitors. And so that remains one of our big issues.
Mark Hughes: Is there the issue the consistency or equal treatment of side the proposals that are out there about potential chances are those things that are material to your business model I know you don’t want to be disadvantage in anyway, but if those things were imposed kind of the regiment that may be attentively up for discussion, how meaningful would those changes be?
Steven Fredrickson: It’s a great question and hopefully the answer will give a good flavor for how we are trying to conduct our business. As soon as we get smoke signals from a regulatory body about how they would like to see things done on an operational basis, we are attempting to read those signals and voluntarily make changes to our processes to take that into consideration. And so, the vast majority of issues that we have been able to recognize and that are out there, Neal has already made those changes in our operations in some cases sometime ago. So if you are talking about a rule making that would come down next month and what the impact would be to us. Again if I reading as a key lead is correct, we think it would have virtually no impact to us because we’re already doing it.
Mark Hughes: Right. So that why not them just go ahead and come to an agreement?
Steven Fredrickson: Well, I’ll just kind of give you reiteration one more time and then we’ll leave it at that. But we are not going to be able to come to an agreement that causes us to do something with the rest of the industry doesn’t have to do because that would put us at competitive disadvantage, number one. Number two, those seems to be a little bit of disagreement about agreeing to do something proactively versus agreeing that it should have depend on retroactively and accepting liability for not anticipating retroactively that have not been in place. So that’s doesn’t too fundamental issue that I referenced in our script and if we could gets you to the other side on both of those which we feel are very reasonable, we had a deal.
Mark Hughes: Thanks for that clarification.
Operator: Thank you. I would now like to turn the call back to management for closing remarks.
Steven Fredrickson: Thank you, operator. Thank you all for taking the time to join us on this quarter’s earnings call. We look forward to speaking with you all again next quarter.